Operator: Good afternoon and welcome to the Skyworks Solutions' Second Quarter Fiscal 2009 Earnings Conference Call. This call is been recorded. At this time, I'd like to turn the conference over to Tom Schiller, Investor Relations for Skyworks. Mr. Schiller, please go ahead.
Thomas Schiller: Thank you, operator. Good afternoon everyone and welcome to Skyworks' second fiscal quarter 2009 conference call. Joining me today is Dave Aldrich, our President and Chief Executive Officer; Don Palette, our Chief Financial Officer and Liam Griffin, our Senior Vice President of Sales and Marketing. Dave will begin today's call with a business overview followed by Don's financial review and outlook. We will then open the lines to your questions. Please note that our comments today will include statements relating to future results that are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Actual results may differ materially and adversely from those projected as a result of the certain risk and uncertainties including but not limited to those noted in our earnings release and those detailed from time-to-time in our SEC filings. I would also like to remind everyone that the results and guidance we'll discuss today are from our non-GAAP income statement consistent with the format we've used in the past. Please refer to our press release within the Investor Relation's section of our company website for a complete reconciliation to GAAP. I would now turn over the call to Dave, for his comments on the quarter.
David J. Aldrich: Thank you, Tom and welcome everyone. This afternoon, we released second fiscal quarter 2009 results and I'm pleased to report that we've made substantial progress on our strategic initiatives. Namely, gaining share in our core markets, diversifying into adjacent analog segments and improving upon our operational execution. Specifically, the Skyworks team delivered revenue of 173 million versus guidance of 168 and we've maintained gross margins essentially flat, sequentially at 40% and on a year-over-year basis, despite the dramatic economic downturn. We've reduced our operating expenses by more than $25 million on an annualized basis and we posted $0.12 of EPS, this is $0.02 better than consensus and above our guidance of between $0.10 and $0.11. We generated positive cash flow from operations and we exited with $268 million of cash. Our performance was highlighted by strength in newer applications including energy management and smart grid technologies, we'll talk more about that in a moment. China 3G base stations, e-book reading devices, smart phones and push-to-talk platforms. So on today s call, we'll be discussing how would broadening our market in product footprints while improving our operational execution to emerge in even stronger and an even more profitable company as the markets recover. So, first on the diversification front. During the quarter, we captured energy management design wins in support of Itron, Sensus, and Landis and Gear. This particular space has impressive growth potential. Utilities, business and consumers are demanding enhanced billing efficiency, usage monitoring, and increasingly power control to prevent costly burnouts and potentially catastrophic blackouts. In fact, Gardener, a leading third-party research firm, expects more than 150 million smart readers to be installed worldwide in the next five years. Now this is creating an incremental semiconductor opportunity of roughly $2 billion by the year 2012. I think it's also worth noting that the recent American Recovery and Reinvestment Act has allocated $4 billion for advanced metering projects and given our engagements with key energy management system providers, we are seeking to win a significant share of this opportunity. During the quarter, we also ramped our suite of infrastructure solutions at Wireway (ph) and have recently secured several design wins to ZTE (ph), both in support of strengthening 3G demand within China. Specifically we are delivering mixers, amplifiers and receivers, and are moving from $3 of addressable content per LAN cards (ph) to upwards of about $20 with some of our more highly integrated solutions. Meanwhile, we continue to broaden our analog product catalog business. This business supports a wider range of applications including medical, avionics, automotive, broadband, industrial applications. During this quarter, we released a number of new products including low-noise amplifiers, silicon VCO synthesizers and variable voltage attenuators. I'm particularly excited about our newest family of LNAs or low-noise amplifiers based on our recent design traction within high performance infrastructure, GPS and satellite radio applications. On the smartphone front, this is another key diversification sector for Skyworks. We are gaining momentum across several key OEMs, particularly as they seek to integrate more bands, more modes; Bands 1, Bands 2, 3, 2, 5 and 8, as well as WiFi functionality for efficient global network roaming and seamless hand offs. Skyworks is uniquely positioned to provide all of this required functionality with improved power efficiency with smaller footprint and with lower product cost structure. As a result, we're also strengthening our design partnerships with the key base bands suppliers, including Qualcomm, Broadcom, Mediatech, Texas Instruments and Finnan, Marvell and SP Ericsson. Speaking of Qualcomm, we recently expanded our partnership leveraging our integrated front end modules into growing number of their 2G, 3G and HSDPA reference designs. I think it's also worth mentioning, the recent re-emergence of push-to-talk applications of RIM and Motorola driven by Sprint's Nextel network. Given the complex power and network handshake issues related to the IBM (ph) protocol, we've developed over the years, highly customized modules for this application. Skyworks maintains a majority position in this segment and to the degree the push-to-talk continues its rebirth as an effective field's communication tool, we tend to be the main beneficiary. And finally, as a very timely example we are providing solutions for an entirely new and increasingly popular e-book reading platform, developed by one of the world's largest online retailers. This represents another analog intensive and power critical application for us. So what's coming across all of these as well as other program ramps is that we are leveraging our core, analog, mixed signal and systems integration expertise, into emerging applications that are defined by much longer product life cycles, higher margin profiles, that are commencement with the value of our technical innovation. In other words, our customers are willing to pay us for our efforts in these segments. So in addition to expanding our market presence, we're continuing to drive operational improvements and believe that the success of our fab-lite manufacturing strategy, by the way which we commenced several years ago, is beginning to exhibit meaningful financial results for us. To be clear our fab-lite strategy refers to our hybrid manufacturing model where we have partnered with external foundry supplies in Taiwan and China to create second sources of our capability, utilizing our quality systems and our toolsets. This approach allows us to better balance external capacity with the demands of the market. Internally, our utilization remains high and we therefore are able to maintain margins and return on invested capital on a much broader range of revenues. We believe, we demonstrated this capability last quarter as we're able to maintain 40% gross margin on lower revenue -- on a lower revenue basis, and as we guided, we expect improving gross margins in the June quarter. At the same time, we are continuously driving improved yields, higher equipment utilization and lower cycle times. Together, our fab-lite model and disciplined cost reduction initiatives have resulted in a lower overall cost structure, driving higher margins as well as strong cash flow generation. So in closing, we're creating a uniquely diversified company, with the scale derived from high volume applications applied to a broad range of margin rich, analog products and markets. And accordingly the stage is set for accelerating top and bottom growth as the markets eventually stabilize and as they recover. Okay. I'll now turn this over to Don for his review. Don?
Donald W. Palette: Thanks Dave, and thanks again everyone for joining us today. Revenue for the quarter was 173 million versus guidance of 168 million and 201.7 million a year ago. Gross profit was 69.2 million or 40% of revenue. Our ability to maintain gross margin level in the 40% range despite the decrease in revenue, is being driven by the flexibility of our fab-lite model, enabling us to maintain high levels of utilization, improved equipment efficiencies at all of our factories, progress on yield improvement initiatives, double-digit year-over-year material cost reductions, and continued migration to a richer product mix. Operating expenses were 47.9 million, of which R&D was 27.4 million and SG&A was 20.5 million, yielding 21.2 million of operating income. Our net interest and other expense for the quarter was 800,000 of expense, while taxes were 400,000. As a result net income was 20 million or $0.12 of diluted earnings per share. Turning to the balance sheet; we exited the quarter with cash and cash equivalents of 268 million. Of note, we generated 22 million in cash flow from operations, recorded 12 million of depreciation and invested six million in capital expenditures. At a higher level, we continue to focus on strengthening our balance sheet, translating improving business performance into a higher cash balance. To that end, over the past year we've increased our cash balance from 228 million at the end of Q2 fiscal 2008, to 268 million at the end of Q2 fiscal 2009, while simultaneously reducing our convertible debt from 200 million last year to 97 million today. That's an increase in our net cash position of 143 million. As we have discussed over the past several quarters, balance sheet strength is increasingly a key competitive advantage in winning business, particularly, in this challenging economic environment. Customers and suppliers alike are seeking partners who not only proving innovative solutions, but are also financially are well positioned to support their long term, road maps. This is yet another area where we believe Skyworks is distinguishing itself. Now to our business outlook for the third fiscal quarter of 2009. Although we remain cautious on the macro-economy, we intend to resume top and bottom-line growth in the current quarter through share gains and broader participation in new markets. Specifically, we are guiding June quarterly revenue to be up 5% sequentially to 182 million. Operationally, we expect gross margin to expand to between 40 and 40.5% and project operating expenses of approximately 49 million. Below the line, we anticipate 800,000 in expense for net interest and other expense, and taxes at a 3% cash rate, driving $0.14 of non-GAAP diluted earnings per share, a 15% sequential improvement in profitability off a base of 168 million shares. That concludes our prepared remarks. Operator, let's open the lines for questions.
Operator: Very good. (Operator Instructions) We'll take our first question from Suji De Silva with Kaufman Brothers.
Suji De Silva - Kaufman Brothers: Hi Dave, hi Don. That's a good quarter (ph) guys.
David Aldrich: Suji, thank you.
Donald Palette: Thank you.
Suji De Silva - Kaufman Brothers: Quick question. I guess, were you on 10% customers and are you still progressing toward having more of them at the end of this year?
Donald Palette: Hi Suji. This is Don. The 10% customers for the quarter were Samsung, Sony Ericsson and Motorola and just its worth noting that LG and Nokia were right behind in the single digits for the quarter.
Suji De Silva - Kaufman Brothers: Great. And you talked about diversifying smartphones, can you tell me where you are split wise, 3GH versus 2G and whether smart phones is a material part of that?
Donald Palette: Yeah, for the quarter for 2G and 3G we're at 50% and for WEDGE 3G we're at 50%.
Operator: Our next question comes from Uche Orji with UBS.
Uche Orji - UBS: Hello.
Operator: Uche you line is open. Now pick up your handset. Again, Uche Orji UBS are you there? Pause just a moment, you may have to pick up your handset, we're not hearing you, check your mute button.
Uche Orji - UBS: Yes please. Can you hear me?
Operator: Yes we can.
Uche Orji - UBS: All right. Can I just ask you starting off with, how much more of gains in terms of market share momentum you see specifically if I look at the Nokia decision to put Infineon on the Edge platform is kind of opportunity for you. So any more color on to how much opportunity to gain share that would be helpful?
David Aldrich: Liam and I'll both answer that. We are today just beginning a ramp at Nokia that's been perhaps a little over a year from now. We are heavily weighted on -- a year ago. We are heavily weighted in 3G and of course you've seen some of their volumes has shifted to the middle or low tier. However, I'm really happy to say that our relationship has deepened and now we're been lined out across their products spectrum and we expect to see sequential growth continuing in Nokia although they're not a 10% customer. The fact is, we're probably in less than 10% of Nokia's phone today, and we fully expect to be at least a third of that over the course of the next couple of years.
Liam Griffin: Right. I think the platform you mentioned Uchi, can you mention that again please?
Uche Orji - UBS: I mean Nokia announced that Infineon was going to be on the EDGE platforms. So I'm not sure whether we're going to have this specific product in the year that they're going to be shipping, but there was an announcement that Nokia made and I was wondering whether you were well with Infineon?
Liam Griffin: Yes, yes we are on board and that platform is shipping starting this quarter.
Uche Orji - UBS: Okay. Just one more question. If I look at your margins, they've held steady even through the difficult revenue environment. If I look forward, how should I expect that the drivers of the margin to trend? I know you'll say it's going to be up next quarter, but my sense is between ASPs utilization rates, which you mentioned as high already, what could keep gross margins going if I look down the line say for the rest of the year?
Unidentified Company Speaker: I think Dave and I both jump in on that question but one of the things is that, our utilization rates are high, but there is still going to be some volume upside that you'll see given our fixed cost base. So that's one of the things that are going to drive that. We'll have the 6-inch line coming on in early 2010. That's another step function for us to drive margin improvement. We continue to drive one of the things that we do a very good job of is driving year-over-year material cost reductions, which in a lot of cases more than offset any of the pricing adjustments. That's going to continue. And then as you see the shift to 3G and the multimode components that we're providing, there's higher dollar content and with that we believe comes higher margin. So those are some of the big drivers that you expect -- we expect to see in the business.
David Aldrich: We're also seeing with this expanding footprint in our catalog business and some of newer applications we were talking about. They're materially higher margins than what you think are traditionally at Skyworks. So a combination of the utilization and operational aspects is not described and improving mix is going to continue to give us we believe a headroom and growth in the gross margin and an operating income, because our OpEx will remain relatively flat as we grow the top-line.
Operator: Our next question is from George Iwanyc with Oppenheimer.
George Iwanyc - Oppenheimer: Thank you for taking my question. Dave, when you look at the smart meter opportunity, can you give us an idea of how much revenue you're getting from that right now and how you expect that to grow either with the stimulus spending and just the normal plans the utilities companies have?
Liam Griffin: Sure, this is Liam. So with respect to the smart metering opportunity, we think that this is got tremendous potential for Skyworks. Today, it's a relatively small source of revenue for us. It is growing. It was up sequentially in the March quarter. It will be up again in June. And what we're seeing here is the market that if you look at the Gardner estimates we mentioned, we are seeing at least 150 million meters being upgraded to wireless technology from '09 to 2012 and each meter could have three to five to $6 of content available for Skyworks. So, we are seeing this come together quite nicely. A number of utilities have rolled our platforms Southern Cal Edison (ph), Pacific Gas and Electric, San Diego Gas and Electric, and the carriers the customers that we're working with of course are on metering side; Itron, Sensus. So, its early innings for us. We really like the dynamics. There is definite convergence to wireless technology and I believe this is going to be a strong driver for us over the next several years.
David Aldrich: If you look at the products. We've been developing products now for this market. We identified this some ago. It's a nice adjacent segment for us. We've been able -- we are very fortunate to be able to get in with the right set of customers. I think from a design relationship, OEM relationship standpoint, I think we're way ahead in this market.
George Iwanyc - Oppenheimer: Are the margin is in this business inline with the rest of the margin in the Linear business and when you look at, those 150 million meters that are coming on, what type share do you think you could have with the customers you're working with. What kind of share do they have right now?
David Aldrich: The margin are terrific in this space. As you would expect from a utility base market, margins are terrific for us. We expect to have a very high share. The products that we are addressing today are serving, think about it as an underutilized market where a lot of these current solutions or the older solutions in place today are very discreet. They consume a lot of power. They require more diagnostics and we've developed solutions that are elegantly simple we think for these providers to deploy.
Operator: Our next question is from Tim Luke with Barclays.
Tim Luke - Barclays: Thanks so much. Just to clarify with respect to the calling on smart meters, is this a business that could be a sort of double digit percentage of the mix and say and exiting 2010 or in 2011 or how should we think about that?
David Aldrich: I think that's pretty intuitive and in that timeframe that's a good way to think about it. It's going to take a little while. It's not insignificant today and is growing very healthy sequentially in this quarter. In a down market, it's a little bit if you will recession-proof in many ways. There's a lot of green initiatives under way. Incidentally the stimulus package has monies earmarked for our customers here or at least in territories in which in areas which we'll be deploying product. And so, I think you're thinking about this right. We do believe it can be a double-digit percentage of our revenue. We also believe its going to take a period of time to get there.
Donald Palette: Yeah, let me just add that, right now, much of the data that we've discussed is largely U.S. based, North American based. Europe is also engaged. If you look out five to seven years from now, I think this is going to be a very big deal in markets like China, where there is quite a bit of work being done right now on the conservation side, on the clean energy side. So as Dave pointed out, there are number of initiatives in place to make this happen. By the way the payback for the utility is almost immediate here just in cost savings and power control. So a lot of macro things behind us.
Tim Luke - Barclays: As you look forward to the landscape, could you give some color on how you feel about broad inventory levels with your customers and for you and how you think seasonality may trend now with you having a stronger second quarter. Do you feel now that you're likely to see a firmer September period as well or how should we think about it? And then separately if I may, in recent commentary from some players selling into the China 3G market, they're suggesting its being strong in the first quarter, its going to be strong in the second quarter, but did expect something of a pause as the deployments are absorbed in the second half of the year. How do you think about that for you guys?
David Aldrich: Okay. Let me start with the inventory question. We did see for the most part the inventory levels begin to stabilize, but there are independent pockets which would be above or below the equilibrium line here in the March quarter. But generally, the trends on inventory looked better. There was a burn in most markets. So we do see that stabilizing. And that again sets us up we believe for a better second half for the marketing channel, so we believe that. With respect to China, we commented on the opening remarks here that we are seeing a rollout of 3G technologies. We are seeing carriers like China Mobile begin to spend in a meaningful way. For us Wireway and ZTE are the drivers. We have a very good position Wireway and ZTE share for Skyworks is being growing every quarter. So, we're going to benefit from that. I'm not seeing any reason for that business to come down in the second half Tim. So we feel pretty good about it.
Operator: Our next question is from Cody Acree with Stifel Nicolaus.
Cody Acree - Stifel Nicolaus: Thanks guys and congrats. Back to an earlier question on diversification of Nokia's base end players, you said you are in the Infineon platforms. The other new base end players for Nokia Broadcom, Qualcomm and potentially others, how do you feel your position is with those and is that a driver, is that the primary driver is that just an ancillary driver of your growth in NOK?
David Aldrich: I think there are, the driver of the growth in Nokia is their desire to diversify their supplier base with companies who started out being, really filling gap on the edge of CDMA and increasingly have the supply chains and the scale drive volumes across their portfolio. So, we have spent several years now being qualified and getting to a position where they have the confidence in us and we have the roadmap for them that is going to allow us to be lined out not only on the mid to high end but on the low mid and high mid. And as such this is a very disciplined company, they are very disciplined company as they have entertained new base partners. They've essentially in a sense limited the engagement of those baseband suppliers to our qualified PA suppliers. So there aren't many PA suppliers in Nokia. There aren't any, all that many baseband suppliers and you can kind of have see how that, how the alignment would be. So, we've been and unfortunately in parallel to the Nokia's drive to diversify and to bring us up to speed so on over the last couple of years. We've been working very hard across markets and applications with the very same baseband providers, the very same baseband providers. So our relationship with them is very strong. Our designs are consistent with their roadmaps. So, it is going to be a driver both coming at it from Nokia's desire and coming at it from our baseband relationships.
Cody Acree - Stifel Nicolaus: Great and then actually I have just couple of quick ones here, breakdown any color on breakdown of end markets are in segments of revenue, I know you shied away from giving those but you used to give a bit more color and it would definitely help for modeling?
Donald Palette: Cody, this is Don. The only breakdown that we've typically given is the spilt between the LP business and handset. And the number that came in this quarter was same as what we've previously seen and LP was in the 20 to 25% range and our handset business 75 to 80% of our revenue and the numbers can move a few points within that, but that's the range we've seen constantly for some period of time that hasn't changed.
Cody Acree - Stifel Nicolaus: All right then just finally OpEx trends; revenues starting to turn, can you take your foot off of that, the OpEx brake there a bit or do you -- are there initiatives in place that will continue to drive those OpEx lower throughout the year?
Donald Palette: Well we just guided for Q3, 49 million, of Q4, 49, 49.5 million is a reasonable number we've assumed. But no we are very focused on maintaining the cost base, we have in place right now. And we have a business model as revenue ramps, we are not going to see a lot of incremental expenses and that's where we're going to get the power of this leverage as we go forward, so I wouldn't expect that to move a lot.
Operator: Our next question is from Stephen Ferranti with Stephens Inc.
Neal Waggoner - Stephens Inc.: Hey guys, this is Neal for Steve. You guys have talked about targeting long-term gross margin within a 42% range and operating margins in 20% range. I guess, one is that still a case. And then two, given your lower cost structure today, what kind of revenue run rate are you now assuming in those longer term rates?
Donald Palette: Hi Neal, this is Don. Yeah, we -- for the past year we've talked a lot about our operating model and in those presentations and given the cost structure we had in place at the time we were targeting that 250 million report in revenue to be at approximately 18% operating margin. And now with the cost reductions that we implemented this quarter through the initiative that we disclosed, we are now looking at and we see a clear path to be 18 to 20% operating margin, at about 230 million, quarterly revenue.
Neal Waggoner - Stephens Inc.: Okay. Thanks guys.
Donald Palette: Thanks
Operator: Our next question is from Todd Koffman with Raymond James.
Todd Koffman - Raymond James: Thank you. With regard to the June quarter comments on gross margin being bumping up a little bit off, I think it's a 40 to 40.5, what is your current mix between internal manufacturing and external outsourced manufacturing? Thank you.
Donald Palette: Right now for assembly and test services, it's all internal. We are not outsourcing any of that. We have a copy exact of cash wafer provider in Taiwan that does continue to run, that we keep moving, and we are looking at about 10% -- 10 to 15% of our wafer volume is coming from that fab in Taiwan, the rest of its all internal generated.
Todd Koffman - Raymond James: Thank you.
Operator: Ours next question is in from Mike Burton with ThinkEquity.
Mike Burton - ThinkEquity: Hey guys and congrats on the quarter. First, can you just talk a little bit about the pricing environment right now? There has been some discussion from some of the OEMs about extracting some price concessions out of the component suppliers?
David Aldrich: Well, we've seen -- there is always pricing pressure in the most commoditized segment of the handset business. We're seeing kind of think of it bifurcated this way on the WEDGE and smartphone its really a play where we're adding more content and as each subsequent generation has come in, we're tending to have more complicated switching and amplification over more bands and modes. And so while there is always a desire on our part to work with our OEMs to lower the bill-of-material costs, it hasn't translated in to lower dollar content per phone. In fact it's been going the other way. On the other hand on the very low end, we've been developing new products and processes that are allowing us to support the most sensitive area, which is the emerging markets, which I think is the right kind of delicate mix between the right performance and the right cost structure. So we were picking up some share on the ultra low end. Last year we saw our ASPs decline in the 7% range and that's part-to-part. We didn't see that decline in the dollar per phone, so we saw in overall. And I think year-to-date that's been roughly the same.
Liam Griffin: Right, right, that's right.
Mike Burton - ThinkEquity: Is the margin structure roughly the same between then, between the smartphone and the low end segment or is there...
David Aldrich: There is certainly more and more margin dollars on the high end because if you think about it, in our business, we're driving those similar processes and that fixed cost structure across a certain set of markets and customers. So as the dollar content goes up, the contribution margin -- the variable contribution margin is high across the board. So, I would say that we clearly get more dollars of contribution from the high end margin or similar.
Operator: Our next question is from Nathan Johnson with Pacific Crest.
Nathan Johnson - Pacific Crest: Hi, thanks for taking my call. I was wondering if you could elaborate in looking at the sequential growth you expect in revenue for next quarter. How much of that is expected to be from market share gains? How much is expected to be from actual improvement in end-market demand and then how much of that is more due to inventory re-balancing at key customers?
David Aldrich: Well let me try to answer in a different -- there is a lot in that question. I would say that if you look at the way we're guiding and we're thinking about our business today, while we are cautiously optimistic about the end-markets in the second half, we still need to work through some inventory. We are seeing improved visibility. That's very important first step at recovery and we are seeing new programs ramping that we're excited about. So, I think that if you look at our guidance, we are attempting to be very, very conservative because the market is still going through a choppy patch here. So, we guided to be 5% up and we did that to be appropriately conservative given the uncertainty that still exists in the market despite our cautious optimism.
Nathan Johnson - Pacific Crest: Okay, great that's helpful. I was also hoping on if could elaborate on -- you talked a little bit about base stations deployments or equipment for deployment in China. I was wondering that if you could elaborate on what you are seeing on the handset front. Are you guys seeing inventory build ahead of the 3G launches and Labor Day holidays or is there kind of a more of a wait and see attitude for handsets going into China?
David Aldrich: Yeah, I think the market in China appears to be showing some signs of improvement here. We are seeing some TD-SCDMA deployments on the handset or we're even seeing some CDMA deployments, but we're also seeing some pick up driven by China Mobile not only on GSM, but also for the first time some meaningful volumes in EDGE. So in general, that market looks good. It is an important part of our business as you know, and we're quite pleased with our position there.
Operator: Our next question comes from Edward Snyder with Charter Equity Research.
Edward Snyder - Charter Equity Research: Thank you very much. I want to go back to Nokia for a minute if we could. Last year Dave, I think your expectations was that Nokia would probably about a 10% customer on a run rate level by the December quarter. That didn't happen. It appears that the Broadcom EDGE project Dave, now is being delayed several quarter. And then I know you're a primary FEM supplier to that line. Where is Nokia in your planning today? Do you expect them to hit 10% anytime this year on a run rate level? And should we model like a slower growth rate but consistent gains there because you got a lot of upsides still and it sounds like you're being deployed on more and more products. I'm just trying to get a feel for some of the main platforms that you are on, that would give you such optimism last year, just the way if there's other problems going on? And then secondly, where are those gains? You are doing very well on revenue and you are growing better than most of your peers. Where are you making these gains as the Koreans rim, the Chinese via Qualcomm, just trying to get a feel for where you are filling up the way you have all group left to go?
David Aldrich: As the situation with Nokia is that we entered that account -- our initial design wins were all in the WEDGE platform. And as you know that the markets for 3G were hit pretty hard here. And so the fact that we were participating in the mid-to-high Tier not the mid-to-low Tier meant that this particular customer's volume was weighted towards a segment in which we didn't participate. We are fixing that and I think you sounds like you've been doing some due diligence there, but we are fixing that. They want us to participate and we're going to participate. So you should absolutely think of them as being, becoming a 10% customer and our expectation and our aspirations are obviously much higher than that. In terms of where we're seeing strength as we talked about in our prepared comments; we are seeing strength in this smartphone segment. We are seeing strength among some of these newer applications, which that are beginning to ramp. We're seeing strength in China infrastructure. We're seeing relative strength coming from our Korean customers in that they have taken share and we've taken share with them. And we have some pretty strong partnerships in China that are allowing us to address a very, very broad footprint of indigenous OEMs within China. We're very close to Mediatech for example. And we've been working very, very hard for last couple of years and are beginning to see the fruits of that with our Qualcomm reference designs. In the past, we participated with the Qualcomm baseband but it's been designed in after the reference design was released. We've rectified that situation and we are on increasing more of those platforms. That's where it's coming from.
Operator: Our next question will then come from Aalok Shah with D.A. Davidson.
Aalok Shah - D.A. Davidson: Hi, guys a couple of quick questions. Don, can you hear me?
Donald Palette: Yes.
Aalok Shah - D.A. Davidson: Okay, on the cost of good sold line, it looks like you had an inventory write off. Was that all related to the transceiver business?
Donald Palette: Correct, that was part of the restructuring.
Aalok Shah - D.A. Davidson: So a 100% of that was transceiver or was there any other write downs also in there?
Donald Palette: None at all.
Aalok Shah - D.A. Davidson: Okay. And then in terms of tax rate, what should we think about going forward now?
Donald Palette: It's consistent with what we communicated last several calls. We guided 3% this quarter and I think it's three to 4% in the fourth quarter, that's going to be in the ballpark. And then 2010 and 11 we have enough of our NOLs to carry forward that we are projecting and some R&D tax credits as well. We are projecting our cash tax rate to be approximately 15% in 2010 and 11. That's the way you build your models.
Aalok Shah - D.A. Davidson: Okay. And then last question from me; in terms of bookings this quarter, I mean I guess fully booked to the guidance now at this point?
David Aldrich: Yeah, if you look at the orders we have in hand today coupled with our hub forecast, we are right around 90% at this stage.
Aalok Shah - D.A. Davidson: Okay. Great thanks a lot guys.
Donald Palette: Thank you.
David Aldrich: Thank you.
Liam Griffin: Thanks.
Operator: Our next question will come from Alex (ph) with JMP Securities.
Unidentified Analyst: Yeah, thanks very much. I wonder if I could ask a question about the passive wireless subscription model and the e-book model, wondering what kind of engagements you are seeing right now? How much interest? Is there anyway you can quantify may be the opportunity beyond what's already in the market like your expectations might be we say in 2010? Thank you.
Liam Griffin: We think this is a entirely new category. It's difficult to see what the long-term growth prospects are going to be but we believe what we even think so far is been great and its been ahead of our expectations. So, one of the things to remember is that this technology is relatively new. It typically engages 3G networks, which means a lot of content for Skyworks and for the smartphone. And there appears to be a whole different subscriber base that's interested in this type of technology. So it's a very early. Early forecast, the forecast that we have seen so far been exceeded by our customers and we think this could be a nice addition to our existing wireless system (ph) on forth.
Unidentified Analyst: Okay. and then it is a follow up, I'm wondering what kind of activity are you seeing on 3G and 3G transition to LTE 4G and also may be a breakdown in your expectations between what the market might be doing in terms of multi-mode and back switch compatibility?
David Aldrich: Sure. Well obviously 3G is right now a very important part of the business and we've got great technology for that and it's going to be growing in 2009 for the industry and for Skyworks. And with respect to LTE, we think that's going to be a nice addition to overall market growth, and one of the things we are seeing we've been speaking with customers this week specifically on that. We are seeing a nice addition with respect to data cards where 3G devices or LTE devices will be deployed within data cards, which actually will add to the subscriber base. So when we talk about a normal handset market, 1.1, 1.2 billion we see a complementary data card market today that could compete with DSL and cable, and very high speed broadband networks typically deployed with LTE capability.
Operator: We'll next go to Tim Luke with Barclays.
Tim Luke - Barclays: Thank you so much, just my follow up was on just how you think about the potentials to levers for a target gross margin as you move into, over the next 12 to 18 months, how do you think about that do you think moving to a 41 to 42% level could be achievable going forward? Thank you.
David Aldrich: The answer is yes. We're quite sure it's achievable. And the way we get to Don talked about the fact that given the restructured company, the point at which we get to 20% or 18 to 20% operating income now is lowering from the 2.50 to the 2.25 or 2.30, and the way we get there is a combination of continuing to see high dollar content per phone in 3G and smartphone, continuing to add new market applications like energy, like e-book applications, like 3G infrastructure, 4G data card products. And the third is, we don't talk about it much but we've added some new ammunition if you will, to our catalogue products business. We now have a team of folks. Our applications teams over the last few years have got better and smarter in identifying opportunities where we can intersect the capability of the company with an undisturbed market with L&A with PCO synthesizers and so on mixers. As we build that business that's very much an annuity. I mean I love that business. It's annuity business. Product lifecycles measured in 5, 10, 15 years. You get designed in. No simple, single socket is large enough to entice a lot of competitors. There's not a lot of -- there's not much at all price sensitivity, so you get into the high margin and you stay in. And it's simply a business that builds and snowballs slowly, but quite predictably over time and that business now it is getting bigger and we're getting better at it frankly.
Tim Luke - Barclays: Thank you so much.
Operator: And with this that concludes the Q&A session. I would to turn that call to Dave Aldrich for any additional or closing comments.
David Aldrich: Well thank you everyone for participating and we very much look forward to updating you next quarter.
Operator: And with that, this concludes today's conference call. Again we do thank every one for your participation. You may now disconnect.